Operator: Hello, and welcome to the Enpro Q1 2024 Earnings Conference Call.
 [Operator Instructions] A question and answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded.
 It's now my pleasure to turn the call over to James Gentile, Vice President, Investor Relations. Please go ahead, sir. 
James Gentile: Thanks, Kevin, and good morning, everyone. Welcome to Enpro's first quarter 2024 earnings conference call.
 I will remind you that our call is being webcast at enpro.com, where you can find the presentation that accompanies this call. With me today is Eric Vaillancourt, our President and Chief Executive Officer; Joe Bruderek, Executive Vice President and Chief Financial Officer; and Milt Childress, Executive Vice President.
 During today's call, we will reference a number of non-GAAP financial measures. Tables reconciling the historical non-GAAP measures to the comparable GAAP measures are included in the appendix to the presentation materials.
 Also a friendly reminder that we will be making statements on this call that are not historical facts and that are considered forward-looking in nature. These statements involve a number of risks and uncertainties, including those described in our filings with the SEC. Also note that during this call, we will be providing full year 2024 guidance, which excludes unforeseen impacts from these risks and uncertainties. We do not undertake any obligation to update these forward-looking statements.
 It is now my pleasure to turn the call over to Eric Vaillancourt, our President and Chief Executive Officer. Eric? 
Eric Vaillancourt: Thanks, James, and good morning, everyone. Thank you for joining us today as we review our results for the first quarter and provide an update that includes our current outlook for 2024.
 Before we begin, I would like to take a few moments to thank Milt Childress for his service to Enpro. During his tenure at EnPro, the company's value has increased 6-fold and has positive impacts on our business strategy, financial strength and culture have been remarkable. Today marks Milt's 74th and final earnings conference call, as he will be retiring at the end of this month. I know I speak for the entire EnPro team when I say that Milt will be greatly missed, his influence on our organization, the way all of us worked together and, most importantly, his incredible heart, wisdom and passion for our company will be alive throughout Enpro far into the future.
 Milt, would you like to say a few words? 
Milt Childress: Yes. Thanks, Eric. A few words, it's a pretty tough ask after nearly 19 years. I'll sum it up this way. To paraphrase the philosopher and theologian, Elton Trueblood and I'm doing this liberally. So give me a little bit of grace here as I state this. We have a start, and I'm talking about us collectively, had a start at understanding the purpose of life when we plant trees under who shade we will never fully sit. And that precisely describes how I feel about the work of our team, not only what I've done here, but the work of our team. I couldn't be prouder of the way we work or more excited about the future of Enpro watching this tree grow. Over-time, our colleagues, investors and other stakeholders will enjoy more and more of the shade. The best is yet to come. Thank you. 
Eric Vaillancourt: Thank you for everything, Milt. We wish you well in retirement, and we will work hard every day to make you proud.
 Now on to our first quarter performance. After my review, I will turn the call over to Joe for a more detailed discussion of our results and our current outlook for 2024. Sealing Technology started the year with strong operating performance. As we expected, the softness in AST has persisted due to current conditions in the semiconductor market. And as previously noted, we expect that the first quarter will mark the low point for AST segment results. In Sealing Technologies, despite volume declines in certain markets, adjusted segment EBITDA margins exceeded 30%. Strength in nuclear and aerospace as well as strategic pricing actions and partial quarter contributions from AMI, which has performed very well since joining Enpro, offset weakness in commercial vehicle demand and continued softness in food and pharma. Strong cost controls and favorable mix were also contributing factors to the excellent results. Our continued positive momentum and profitability in Sealing Technologies reflect the underlying strength of the segment. Our focus on applied engineered differentiation, compelling aftermarket characteristics, incremental investments in organic growth and continuous improvement opportunities have created a foundation for profitable growth. Additionally, we continue to pursue strategic opportunities in adjacent markets that build upon our core competencies in safeguarding critical environments as demonstrated with the recently closed AMI purchase.
 In the Advanced Surface Technologies segment, despite the revenue decline of 21%, we maintained a 20% adjusted segment EBITDA margin. We are continuing to make strategic growth investments and advance operational improvement initiatives to position AST for long-term growth. We are focused on executing our multiyear strategy to drive growth in AST's attractive markets. We are beginning to see signs of recovery in certain key product lines as the overall semiconductor market stabilizes and resumes its growth trajectory forward. AST is a key component of our vision for the future of Enpro and we are confident this segment is well-positioned to drive growth and profitability as markets improve.
 Total adjusted EBITDA margins were 22.7% this quarter, and our balance sheet remains in excellent shape. We continue to offer critical solutions for our customers and deliver them in a world-class fashion.
 I would like to thank our teams across Enpro for their continued focus on our core values of safety, excellence and respect. Every day, our teams work hard, empower one another and find purpose in their work. The company is built upon a strong foundation and there is no better time to be powered at Enpro.
 Joe? 
Joe Bruderek: Thank you, Eric, and good morning, everyone. I would like to thank Milt for his guidance and tremendous partnership in recent months, and I am honored to succeed him as CFO. It is clear that we have a great team in place at every level of the organization, and I'm excited about the significant opportunities that lie ahead.
 Diving into the results in the first quarter, sales of $257.5 million decreased almost 9% and organic sales declined 12%, driven primarily by lower results in the AST segment due to ongoing softness in semiconductor. First quarter adjusted EBITDA of $58.4 million decreased roughly 15% compared to the prior year period. Adjusted EBITDA margin of 22.7% decreased 160 basis points year-over-year. These revenue declines were partially offset by strength in certain resilient markets, strategic pricing, cost mitigation and continuous improvement initiatives. Again, the company showed solid management of decremental margins in the face of softness in semiconductor and commercial vehicle markets while continuing to prioritize ongoing investments to drive future growth. Corporate expenses of $12.2 million in the first quarter of 2024 were up from $11 million a year ago. Last year, reductions in share price-related incentive compensation accruals benefited corporate expense by $1.9 million. Adjusted diluted earnings per share of $1.57 decreased almost 20% from last year, largely driven by the factors impacting adjusted EBITDA.
 Moving to a discussion of segment performance. Sealing Technologies sales of $171 million decreased 1%. The partial quarter's contribution from AMI, strategic pricing actions and strength in nuclear and aerospace offset softness in commercial vehicle, food and pharma and general industrial demand in Asia. Our aftermarket positions in this segment offer enduring stability and our critical and innovative solutions for a number of leading-edge applications clearly differentiate us. The segment is structurally strong with adjusted EBITDA margins exceeding 30% for the first quarter despite demand headwinds in some markets. For the first quarter, adjusted segment EBITDA increased 6.6%. Strategic pricing and sourcing actions, the partial quarter contribution from AMI, improved mix, 80/20 discipline and focus on aftermarket work and continuous improvement initiatives throughout the segment offset overall volume declines to drive the strong result. Sealing's ability to maintain robust margin performance through a sales decline reflects the strength of our market positioning and the criticality of our technology in essential applications. We are encouraged by positive order momentum in certain shorter-cycle product lines that we expect to drive improved performance in Sealing Technologies into the second quarter. Demand in our longer cycle backlog-driven solutions such as in aerospace, space exploration and sustainable power generation is growing nicely and gives us confidence for continued solid performance in the segment moving forward.
 We turn now to Advanced Service Technologies. As expected, we saw a sequential and year-over-year decline in financial performance. First quarter sales of $86 million decreased 21.4%, driven primarily by continued weakness in semiconductor capital equipment spending. Portions of the segment are showing continued secular growth and recovery, while we are experiencing headwinds in certain product lines where inventory destocking could persist in coming months. Our positioning on advanced node platforms in the semi space and our ability to utilize our technological advantages and process know-how for future platforms is encouraging. We continue to invest in AST and are pleased with our strategic positioning in these critically important markets. For the first quarter, adjusted segment EBITDA decreased 41% versus the prior year period. Adjusted segment EBITDA margin remained above 20%. The volume decline was the primary driver for the year-over-year reduction in profitability. We have balanced the realities of short-term volume levels where our goals are remaining well positioned for the market upturn and investing in future growth opportunities.
 Turning to the balance sheet and cash flow. We completed the AMI purchase on January 29, utilizing $210 million in available cash. In addition, we acquired the remaining non-controlling interest in Alluxa in February for $17.9 million. Our net leverage ratio, inclusive of these transactions stands at approximately 2.3 times trailing 12-month adjusted EBITDA. Free cash flow in the first quarter turned slightly negative compared to about $21 million of positive free cash flow in the prior year quarter due to the year-over-year reduction in EBITDA, timing of working capital, $5 million of incremental long-term incentive compensation payouts related to prior periods, $3.3 million of transaction fees associated with the AMI purchase and higher cash tax payments of $5 million in the quarter. We received a tax refund in the year ago quarter. For the year, we continue to expect free cash flow to exceed $100 million and capital expenditures in the $60 million range, the majority of which will be focused on growth and efficiency projects. We have strong financial flexibility to execute our strategic initiatives, both organically and through acquisitions that broaden our capabilities. Our goal is to build upon our leading-edge positions in markets with secular growth drivers that safeguard critical environments and applications that touch our lives every day. Our strong balance sheet and cash flow generation provide us with ample liquidity to make these investments while continuing to return capital to shareholders. In the first quarter, we paid a $0.30 per share quarterly dividend totaling $6.4 million.
 Moving now to our 2024 guidance. Taking into consideration all the factors that we know at this time, we maintain our total year 2024 guidance issued in February. We expect total Enpro sales growth to be in the low to mid-single-digit range, adjusted EBITDA between $260 million and $280 million and adjusted diluted EPS to range from $7 to $7.80. The normalized tax rate used to calculate adjusted diluted earnings per share remains at 25% and fully diluted shares outstanding are approximately $21 million. In the Advanced Surface Technologies segment, we expect a slight sequential improvement in the second quarter. We continue to see growth in our advanced node cleaning business and positive demand signals in our Chamber tool performance coatings business. Overall, the semiconductor market appears to be stabilizing, and we are seeing signs of recovery that should drive improved results in coming periods. In Sealing Technologies, we expect an improved order patterns in certain shorter-cycle product lines, firm backlog and positive mix can offset weaker demand in commercial vehicle OEM. We expect sealing to exhibit the typical seasonal patterns where the first half is slightly stronger than the second half. We continue to anticipate that where we land within our guidance range will primarily depend on the timing and magnitude of the recovery in semiconductor. Regardless of the precise timing, we are well positioned and are making appropriate investments to drive future growth and value.
 I will now turn the call back to Eric for closing comments. 
Eric Vaillancourt: Thanks, Joe. Overall, the balance inherent in Enpro's portfolio was evident again in 2024. Our discipline and rigor enabled us to perform well under diverse set of market conditions. Our best-in-class portfolio generates attractive margins and cash flow returns and our value-creating strategy remains unchanged.
 Thank you again for joining us today. We appreciate your interest in Enpro. We'll now welcome your questions. 
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question today is coming from Jeff Hammond from KeyBanc Capital Markets. 
Jeffrey Hammond: Milt, thanks again for everything. We appreciate all your time that you've spent with us. 
Milt Childress: Thank you, Jeff. Appreciate it. 
Jeffrey Hammond: I really just want to dig in on semiconductor. I guess, it sounds like cleaning and leading-edge nodes seems to be getting better. Maybe talk through the parts where you're still seeing destocking and still seeing weakness. And then just if we snap the line as of today, are we feeling kind of more or less confident around kind of second half ramp in AST? 
Eric Vaillancourt: I'll jump in and start, Jeff. It's Eric. So first off, in all those segments, our backlogs grew. So we're feeling better about the second half as time goes on. Our cleaning and coating business certainly have some momentum, I would call it. And the rest of our business, I would say, is kind of choppy. I wouldn't say destocking is still going on. We just haven't had momentum there. We're seeing green shoots where it's getting a little bit better here and there, but it just hasn't taken off, and we're getting ready for that to happen sometime, hopefully later this year. 
Operator: Next question today is coming from Stephen Ferazani from Sidoti & Company. 
Steve Ferazani: I want to follow up that last question in terms of how the semiconductor recovery fits into your guidance. When the semi decline began, you guys lagged it by really even a couple of quarters. The concern would be that we start seeing that recovery, but you lag into '25. So I'm trying to figure out your confidence level that indeed, even outside of cleaning and coating, you get that recovery in the second half? And I guess that's specific to what you're hearing from your customers. 
Joe Bruderek: Steve, first, I mean as we definitely saw some strength in the first half of 2023, given firm backlogs. Throughout this entire down period, the secular drivers around advanced node positioning in our advanced cleaning business and in certain other areas actually were pretty steady, if not growing with positive mix factors affecting this segment. If you kind of take a step back, there are period, there's still a little slow order flow, and we're seeing periods of kind of intermittent kind of inventory destocking on certain capital equipment platforms, but that should loosen up in coming periods. And the drivers of our positioning are giving us some confidence that the back half will show some significant improvement. 
Steve Ferazani: If I could ask about Alluxa. Can you explain that was there a leadership change resulting in that non-controlling interest purchase? And can you give us a general update on what's going on with Alluxa? 
Joe Bruderek: That was just a small kind of a put-call arrangement that was initiated when we completed the acquisition in 2020, and they decided to exercise that put-call provision and Alluxa has now become a wholly owned subsidiary of Enpro. 
Eric Vaillancourt: No surprise there. That was all expected according to plan. 
Steve Ferazani: On the Sealing side, you had a little bit of a bump in the fourth quarter. Obviously, the commercial vehicle market weakened. At that time, you talked about transitioning some of your sales more directly towards the aftermarket. Looking at the numbers, was there a success in that? I would guess there was or was it just the other markets, aerospace and nuclear being very strong? 
Eric Vaillancourt: Yes. Steve, as we talked about coming out of the fourth quarter, right, the heavy-duty trucking and commercial OEM side of things was expected to be down about 25% in the market. And that's what we've seen so far. So because of that, we've really focused on positioning to the aftermarket. That's been successful, and that's what's led to some of the favorable mix coming into the first quarter. We've seen improved aftermarket business that's offsetting the OEM business being down, and we're approaching aftermarket mix in the 70% range versus commercial OEM and been quite successful there. So the STEMCO and overall Sealing team has done quite well, and you've seen the results and the improved margins. 
Steve Ferazani: One more in integration of AMI, how that's going, how you felt about that business so far and what you think to look ahead for it and how it fits within Sealing? 
Eric Vaillancourt: AMI has been just a home-run. We've been really excited about that business. They continue to operate very, very well. We're very, very proud to have them and the team is executing incredibly well. So we continue to be very excited about that business. 
Operator: Your next question is coming from Ian Zaffino from Oppenheimer. 
Isaac Sellhausen: This is Isaac Sellhausen on for Ian. I look the previous sentiment. Milt, congrats on a great career and proud retirement. Certainly will be missed on these earnings calls and welcome Joe as well. 
Milt Childress: Thank you. 
Isaac Sellhausen: The question is on Sealing. Could you speak a bit about the nuclear and aerospace businesses that were stronger this quarter? Maybe if you could remind us how big the nuclear end market is and some of the near to long-term growth drivers there. 
Eric Vaillancourt: Sure. With the EDF project in France and Nuclear Fusion ITER? 
Isaac Sellhausen: Yes. 
Eric Vaillancourt: Okay. Well, certainly, that project is driving some results for us. It's early, but we participate there as well as elsewhere. So I would call it the renaissance or resurgence of nuclear across, especially across Europe and France. We are located there, doing very, very well with those businesses, and I continue to think those trends are going to continue. It's a small and meaningful but meaningful part of our Sealing Technologies. We've had very strong positioning in nuclear for many years. And as you kind of look forward, given basically the reduction in fossil fuels and needing to kind of build baseload power generation capacity, nuclear could be a very strong solution in the Western countries. 
Joe Bruderek: In regards to the space, we're on virtually every space launch there is in the U.S., as you see more launches, of course, that drives our business as well. 
Eric Vaillancourt: We're certainly delighted with our positioning in certain areas in space, aerospace and sustainable power generation. 
Isaac Sellhausen: And then just higher level, I guess, on Sealing. I guess you've had some pricing that's helped the quarter a bit, but maybe if you could just speak to just volume versus price mix and sort of what's embedded in guidance here? 
Joe Bruderek: Yes. So Isaac, we've seen surgical pricing that's been quite successful so far this year. The environment is not conducive to the broad rate pricing that we've seen in the post-COVID market in the last few years, but the team continues to execute well in surgical pricing. So you're seeing low to mid-single-digit pricing execution, largely beginning of the year, pricing activity and really value-based pricing for some of our businesses that are positioned quite well and have a technological advantage position. Volume, we're definitely seeing headwinds in certain spaces. We called that out when you look at general industrial and food and pharma and volumes down in the mid-single-digit range there. But on the margin side and favorable mix side being offset by -- largely being offset by those 2 impacts. 
Eric Vaillancourt: I want to point out another thing. We had a very successful launch of a product called Auto-Torq in our commercial vehicle market, is doing extremely well, and that will continue to grow over-time. The other thing I want to point out is the trailer builds in this year are artificially low. What you're seeing is the CapEx spending being put towards truck to be expensive requirements coming in 2027 model year. So the trailer will rebound as well next year and continue to grow into '26. So we're still excited about that business in the future. 
Operator: Next question is a follow-up from Jeff Hammond from KeyBanc Capital Markets. 
Jeffrey Hammond: Just on, I guess, I'm just trying to get the shape of how -- maybe at the midpoint of the guidance or sort of baseline. It sounds like AST is up slightly sequentially, but just at the midpoint of the guidance, like how much of a step-up do you need into the second half to kind of hit that midpoint? 
Joe Bruderek: Yes. So Jeff, as we said, right, we're going to see a sequential improvement in the second quarter over the fourth quarter. We talked last quarter and then reiterated again today that we believe the first quarter is the bottom in AST and we should see sequential improvement into the second quarter. The second half includes about a low double-digit improvement in AST in the second half versus the first half. We're seeing signs of that so far, but the timing of which is still up in the air, but that's sort of what we've included in the guide for the second half. 
Jeffrey Hammond: Okay. And then that second half, your ramp, is that more market recovery or is that some of the investments you're making kicking in, synergies from NxEdge and LeanTeq kind of coming together? 
Joe Bruderek: It's all of the above, Jeff, as you described. 
Jeffrey Hammond: Okay. And then just on Sealing, I guess, is kind of the best way to think about organic is kind of flat in the first half as got tough comps and negative and then the second half, you get some growth? 
Joe Bruderek: There is definitely a softer Q3, Q4 period of time, so we would probably included in our guidance range is reflective of what you just said, correct. And then, of course, the addition of AMI. 
Eric Vaillancourt: The good news is all the backlog in all 3 of those businesses grew as well in the first quarter. So we are seeing some momentum there as well. 
Operator: Thank you. We reached the end of our question-and-answer session. I'd like to turn the floor back over to management for any further or closing comments. 
Eric Vaillancourt: Thank you for the time today. It was a pleasure. We look forward to the conversations later. Bye. 
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.